Operator: Hello, everyone, and thank you for joining the Helios Towers H1 2025 Results Call. My name is Sami and I'll be coordinating your call today. [Operator Instructions] I will now hand over to your host, Tom Greenwood, CEO, to begin. Please go ahead, Tom.
Thomas Francis Greenwood: Thanks very much, Sami. Hi, everyone, and welcome to our H1 2025 earnings call. I'm Tom Greenwood, Helios Towers' CEO. Thanks very much for joining us today, and I hope you and your families are doing really well. So we're pleased to report a strong set of results for the first half of the year. The business is performing very well across all of our key strategic and financial metrics. We've delivered strong tenancy growth, P&L expansion and a further step forward in free cash flow and return on invested capital. As we reflect on yet another quarter of unbroken growth over the last 10 years and as we lead up to our Capital Markets Day in November, it's important to remind ourselves of priority 1 in our strict capital allocation policy. Our first priority is always high returning organic growth and investing capital expenditure to capture the unique growth in the telecom towers industry in our regions. As I enter my 16th year with this company, what I can say with absolute confidence is that the runway of growth we see ahead is as strong today looking into the future as the growth we have seen over the last decade. Furthermore, following our free cash flow inflection last year and the continued growth of cash generation already in the first half of this year, we're getting to the point of being able to balance and sustain both significant organic growth with continued deleveraging and potential shareholder return. Most importantly, for today, we're firmly on track to meet our FY '25 guidance, and we're executing with consistency and discipline, positioning the company well for long-term value creation as we move into our next 5-year strategic cycle, which we'll be launching on November 6 at our London office in Bishopsgate at our Capital Markets Day, which we have announced today and would love for you to attend. The big focuses here will be our enhanced capital allocation policy, focusing on investor return and value creation, what we are seeing and targeting in terms of high returning growth for the next 5 years and deeper insights from some of our wider leadership team on how we drive excellence and resilience for our customers' experience and our business. So moving to Slide 2. Today, I'm joined by Manjit, our CFO; and Chris, our Head of IR. On to Slide 3. As always, we'll begin with strategy, move to the financial results and close with Q&A. But first, I want to recognize the entire Helios Towers team and our partners across Africa and Middle East. Every day, our team delivers critical infrastructure and services for mobile connectivity, often in remote and complex environments, with high professionalism and global quality. It's this execution and our relentless focus on customer experience excellence that enables our consistent delivery and ensures that the 156 million people covered by our towers today have their daily connectivity needs met, enabling their voice communications, banking, payments, health, education, AI and everything else essential for daily life in today's world. And that delivery is happening against the backdrop of strong industry fundamentals, which are megatrends not just for years ahead, but for decades ahead. Unique mobile subscribers are forecasted to grow by almost 30% by 2030. There's a forecasted increase of 4x in data usage by 2030. And of course, there's a population boom across our footprint with around 3% annual growth. And for our 9 operating markets, population set to almost double by 2050. These are powerful long-term drivers that underpin our growth strategy, which means the top line growth and compounding cash flows have a trajectory ahead for many, many years. Now moving to Slide 4. This image is a simple but powerful summary of our model. We build or acquire towers, lease space to mobile operators, and then drive revenue and cash flow return by increasing the number of tenancies on those towers. Going from 1 tenant to 2 and then 3, as you see here, is incredibly value accretive with small marginal incremental cost each time a new tenant is added, leading to the majority of new tenant revenue flowing through to the bottom line. Our current strategic cycle objective of 2.2 tenants per site by 2026 goes to exactly this point. And we're proving this model out at scale with clear and consistent focus on operational delivery. And now to Slide 5, our highlights. Looking at the highlights, the performance at half year shows that we're very much on track for our full year guidance. We've added over 1,200 tenancy additions year-to-date, including 190 new sites. Tenancy ratio, we've expanded now to 2.11, up 0.1x year-on-year and with very strong momentum towards our 2.2 by 2026 objective. EBITDA is up 9% year-on-year. ROIC rose another percentage point to 14% and free cash flow of $30 million, which represents an upward swing of $40 million year-on-year. This reflects record H1 surplus free cash flow generation for our business. Net leverage continues to trend downwards, now at 3.8, which reflects a reduction of 0.4 year-on-year. We also strengthened our financial position further. Moody's affirmed our B1 rating and moved us to a positive outlook. Fitch has upgraded us to BB-. And recently, we've also reduced our cost of debt from 7.2% to 6.9% through some refinancing of term loans. Our full year guidance is reaffirmed across the board with 2,000 to 2,500 tenancy adds, $460 million to $470 million of EBITDA, $40 million to $60 million in free cash flow. That's a doubling or tripling of our free cash flow from last year. And leverage trending towards 3.5. These results are a testament to our team and our business model. The growth is visible. The cash conversion is accelerating, and we're increasingly well positioned to deliver shareholder returns in the next phase of our capital allocation strategy. Now moving to Slide 6. We've now achieved 10 consecutive years of double-digit adjusted EBITDA growth at around 25% average annual growth rate since 2015. Of course, this includes a very challenging period: COVID, oil price shocks, rate hikes and inflation. Yet through it all, we've delivered consistent, predictable and resilient EBITDA growth. This is a major differentiator to Helios Powers, and it's thanks to the strength of our operating model, long-term inflation-linked contracts and high-quality customer base. Of course, this is all underpinned by the structural growth of the region and the sector with population, mobile subscribers and data consumption, all trending steeply upwards for decades, not just years, and all driving the demand for mobile infrastructure. Our thesis is simple. By operating the business at global quality levels with the best people and disciplined capital allocation, we will continue to deliver P&L growth and the consequential compounding cash flow to create significant value for our investors, customers, partners, communities and people. Now on to Slide 7. Our strategy of 2.2 by '26 is working. Since 2022, we've increased tenancy ratio from 1.81 to 2.11. ROIC has expanded from 10.3% to 13.6%. And free cash flow has flipped from a $721 million outflow for high investment in 2022 to a $30 million surplus so far this year in H1. This is exactly the trajectory we targeted, improving efficiency, improving capital returns and unlocking growing cash generation from our now scaled platform. And if we move to Slide 8. Here, we see our long history of tenancy expansion, which continues to be a key driver of value. The more tenants per site, the higher returns, rising from 12% cash-on-cash ROIC for 1 tenant to 25% for 2 and up to 34% for 3. And because both CapEx and OpEx are largely fixed, this margin expansion flows straight through to cash flow. Our operational teams are delivering this model day in, day out across 9 markets, and this underpins our strategy of tenancy ratio increase through colocation and highly attractive build-to-suit, combining high-quality platform expansion with accelerating tower utilization. And on to Slide 9. Looking forward, the opportunity is substantial, not just for years but for decades ahead. And if we zone in on our next 5-year strategic cycle from 2025 to '30, we see 34,000 new market tenancies expected, 29% unique mobile connections growth and a 4x increase in data consumption. All of this being underpinned by 3% population growth per year with our 9 markets almost doubling in population in the next 25 years. You will see here that the total addressable organic market from '25 to '30 of 34,000 new tenancies is close to the 31,000 tenancies we have as a group today. So the total addressable organic market is essentially the equivalent of doubling Helios Towers today. And our tenancy additions for the past couple of years have been around 2,500 each year, which is consistent with the high point of our guidance for this year. So what this all means is that we can be confident of the demand drivers ahead, creating this addressable market new volume and be confident about our ability to deliver strong growth each year going forward. This means more volume, stronger returns from the asset base and growing compounding cash flow for years ahead. And with leading positions in 7 out of our 9 markets and trusted operational execution capability, we're extremely well positioned to capture that demand as the mobile network proliferate and densify to satisfy the tighter wave of demand for mobile services for the decades ahead. So on to Slide 10. I'm really, really excited to announce we'll be hosting our Capital Markets Day in London on November 6. At this event, we'll be presenting our updated 5-year strategic plan, our enhanced capital allocation framework with focus on high returning organic growth, cash flow generation and potential shareholder return. And we'll be hosting interactive sessions with the executive team, explaining how we achieve customer experience excellence and are taking the business to the next level in terms of performance. We look forward to seeing many of you there and sharing more about the next phase of growth and value creation for Helios Towers. So with that, I'll now hand over to Manjit, who will take you through the financials in more detail. Then we'll be back at the end for Q&A.
Manjit Dhillon: Thanks, Tom, and hello, everyone. Great to be speaking with you all today. Starting on Slide 12, I'll be going through the financial results. As Thomas outlined, the first half of 2025 shows continued momentum and delivery, and we are on track to deliver on our full year guidance across all metrics. We are exactly where we want to be in terms of tenancy growth with tenancies increasing by 1,211 year-to-date, and that's a 7% year-on-year improvement. And we're progressing really well towards our 2.2 by '26 target with our tenancy ratio increasing to 2.11 at the end of the half year. This tenancy growth continues to be the key driver of our EBITDA, which has increased by 9% year-on-year to $226 million for H1 2025, with the last quarter annualized EBITDA of $458 million, which is the bar you see in the middle bar chart. Our combination of capital-efficient growth through colo lease-up and leveraging operational improvements has also driven our return on invested capital, and that's driven up to 13.6%, up from 12.9% a year ago, and tracking really well towards our full year target of 14%. Importantly, we continue to see our free cash flow generation accelerate, driven by EBITDA expansion and timing of discretionary capital additions, and we've delivered a $40 million increase in free cash flow year-on-year to $30 million, and we are confident of reaching our full year guidance of $40 million to $60 million. Now let's jump into some of the detail and moving on to Page 13. Here, we set out the growth we're seeing in number of sites and tenancies. The number of sites increased by 330 year-on-year to 14,515, and that's an increase of 190 year-to-date. New organic builds are an important element of our strategy and ultimately add to the hopper to which we can then drive further colo lease-up. We're very selective in our approach to new site rollouts, utilizing analytics from our proprietary GIS platform to conduct analysis to ensure that the sites we build have a clear potential for lease-up and strong day-1 returns. Tenancies increased by 2,043 to 30,617, and that's a 7% year-on-year increase with 1,211 added year-to-date. We're seeing growth across all markets with particularly large increases across DRC, Tanzania and Oman. And as I mentioned earlier, we saw a 0.1 tenancy ratio expansion year-on-year to 2.11. And again, we're making very good progress towards our 2.2 target. As we continue to engage and partner with our customers on new opportunities, we are clear that we always have and will continue to deploy capital on accretive opportunities that will drive returns. And as Tom went through earlier, the growth dynamics of our markets combined with our execution capabilities of our fantastic teams mean we will continue to see and deliver on these opportunities over the coming years. Moving on to Slide 14, our revenue growth. We've seen revenue growth of 10% year-on-year to $215 million, driven predominantly by our strong tenancy growth. Our hard currency profile remains unchanged at 67% of our revenue in hard currency, which translates to 71% of our adjusted EBITDA being in hard currency. As a reminder, 4 of our markets are innately hard currency, including DRC and Oman, 2 of our 3 biggest markets being dollarized or dollar pegged, and Senegal and Congo Bratville being pegged to the euro. Importantly, this means that the revenues our customers receive are also hard currency, and this is also what they pay to us. In our Romanian markets, we also have portions of our revenue linked to hard currencies, adding further to the overall mix, and our earnings are further protected by contractual escalators, including CPI escalators and annual/quarterly power escalators and de-escalators. 99% of our revenue is from large blue-chip mobile network operators with no single customer accounting for more than 27% of our revenue, as you can see in the second pie chart. And finally, we signed into long-term agreements with our customers with initial terms of 10 to 15 years and are largely noncancelable. Today, our contracted revenue of $5.3 billion has an average remaining life of just shy of 7 years. In other words, we've secured minimum revenue of $5.3 billion in total without pursuing any new business, providing a strong underlying earnings stream that we complement with further growth driven by tenancy rollout. And moving on to Slide 15. We present the usual analysis showing the key drivers of revenue and EBITDA growth in more detail. As with previous results presentations, the key driver of growth has been organic tenancy growth. You will see a decrease in power-related revenues this quarter, and that's largely due to lower fuel prices in DRC and Tanzania, which we pass on to our customers, while also seeing a corresponding decrease in our power operating expenses, hedging us well from an overall dollar perspective. Overall, the escalator movements for power and CPI have washed through to negligible EBITDA impact despite lower power prices and inflation/FX moves. In short, the key driver of growth is through organic tenancy growth and operational leverage from lease-up, and we demonstrated again that the business structure continues to be robust and resilient and operating as designed. Moving on to Slide 16. For the first half, we incurred total CapEx of $54 million, of which $16 million was nondiscretionary. Now CapEx can be lumpy and we continue to guide for the full year of $150 million to $180 million. We have our orders out for the remaining CapEx and consequently we'll see a higher level of CapEx in H2. But this is all good capital investments going into strong returning new builds, colocations and OpEx initiatives, and we have a busy rest of the year, which is very, very positive. On to Slide 17, looking at our balance sheet and credit profile. We've seen continued improvement in our credit ratings with Fitch and S&P upgrading us to BB- and Moody's upgrading their outlook to positive. All of this reflects the work we've done to drive free cash flow, which is now past the inflection point and accelerating, as well as deleveraging our business. Our net leverage decreased by 0.4x year-on-year to 3.8x, and we have approximately $425 million in available cash and undrawn debt facilities. This morning, we were also delighted to make further improvements to our balance sheet, finalizing an update to some of our loans a few hours ago, which resulted in our cost of debt reducing to 6.9% from 7.2%, which is fantastic. As a reminder, 92% of our debt continues to be at fixed rates following our bond refinance in 2024. We have no near-term maturities until 2027. And given we are free cash flow generative, this all puts us in a strong position, and we have the firepower we need to deliver on all of our targets. On to Slide 18, looking at our recurring and bottom line free cash flow. Our 2.2 strategy supports high fall-through from adjusted EBITDA to recurring free cash flow, with $19 million year-on-year increase in our H1 EBITDA going directly to an increase of $20 million to our recurring free cash flow. This resulted in recurring free cash flow increasing by 40% year-on-year to $70 million. Recurring free cash flow is akin to AFFO and is the cash generated from operations that management can allocate towards discretionary CapEx, debt paydowns and shareholder distributions. Bottom line free cash flow for H1 increased by $40 million year-on-year to $30 million, principally driven by adjusted EBITDA expansion and the timing of discretionary CapEx. Following the inflection of free cash flow last year, we're really seeing now this tick on, and we expect to hit our target of $40 million to $60 million by year-end. And this takes us to Slide 19, where we reaffirm our guidance for 2025. Our target of 2,000 to 2,500 tenancies for the year remains as we continue to progress towards our 2.2 strategy. For adjusted EBITDA, we reaffirm our target range of $460 million to $470 million. CapEx target remains between $150 million to $180 million, of which $100 million to $130 million is discretionary and $50 million is nondiscretionary. And as I said, free cash flow we expect to be between $40 million and $60 million, which, as a reminder, is more than double our 2024 levels. Finally, we expect to end 2025 at circa 3.5 net leverage. In summary, we've delivered a strong first half performance. We are exactly where we want to be heading into a busy second half of the year. And with that, I'll pass back to Tom to wrap up.
Thomas Francis Greenwood: Thanks very much, Manjit. I'm on Page 20 now. So key takeaways. Of course, we've got strong momentum towards our 2.2 tenancy ratio target. And this is all driving the financial metrics, the P&L growth, and the free cash flow, and the ROIC, and of course, the deleveraging that's happening as well. 2025 guidance reaffirm we're very confident of continuing the delivery as we move into the next half of this year and really excited about the Capital Markets Day that's happening on November 6 here in London, where we'll talk about the next 5 years and beyond and update our capital allocation framework. So with that, I'll hand back to Sami, and we'll do the questions.
Operator: [Operator Instructions] Our first question comes from David Wright from Bank of America.
David Antony Wright: It's always quite tricky, isn't it? You've announced a CMD in a few months' time, and I'm sure you want to keep your powder dry, so to speak. But I think the one thing that really strikes us from these numbers and your successive delivery, very clean delivery on the back of your significant M&A is obviously how well practiced you are at integrating businesses, growing businesses thereafter. So I guess as you sort of come to your CMD, one of the discussions you must obviously be having is to what extent you want to continue any of these sort of expansion projects or move more towards a sort of fixed geography and just continue to drive the business organically. I just wondered if you could give us any sort of early commentary around footprint, whether you're feeling more comfortable now and it would be sort of very small bolt-ons or you never really tempted to kind of go again given how well it's gone so far. Sorry if that's a slightly roundabout question. I appreciate that you might not be able to give answers just yet, but worth a try.
Thomas Francis Greenwood: Thanks, David. I really appreciate the question. Look, I mean, ultimately, as always, it comes down to our capital allocation framework and where the return is best found, where the capital is best deployed. The priority order that we've laid out over the past several quarters very much continues. So that is #1, organic growth, expanding in the markets we're in, supporting our customers grow their networks in the markets we're in, and that provides the highest level of returns that we see today. #2 is the continued cash flow generation and deleveraging, which we're very much on track on. #3 is the potential shareholder remuneration. And #4 remains today M&A. And that remains under review. But certainly for the foreseeable, I see the current status continuing. We've got great organic demand. There's a lot going on in our markets in terms of network expansion, network densification, technology upgrades. We've barely seen the effects of 5G yet across most of our footprint, which is a significant investment required in terms of rollout. So that's all very exciting. But we'll always continue to review this and be agile. But that's how we see the lay of the land today and for the foreseeable.
David Antony Wright: And if you don't mind me asking just a bolt-on, we've been having some very interesting conversations with the tower cos such as INWIT and Cellnex, INWIT in particular starting to look at the possibility of RAN as a service now where you start to lease the actual RAN equipment as well as the passive tower base. Is that a discussion you guys are starting to think about like a tower co 2.0, so to speak?
Thomas Francis Greenwood: It's certainly something that is being discussed generally in the industry. There are potentially certain circumstances where mobile operators and tower cos alike see the logic of the telco or the neutral host infrastructure player doing it. It's something that we're constantly assessing. But so far, we haven't found the right opportunity for us. We very much see our core business of passive infrastructure, colocations build-to-suit, we very much see large demand for that at the moment and for the foreseeable over the next 5 years and beyond. So we're focusing on core, which is our USP and which what delivers, as far as we can see it, the best in terms of return and long-term cash flow compounding. So we'll continue on that, but we'll always consider other products and other options to the extent they make logical sense for us and our customers.
Operator: Our next question comes from Graham Hunt from Jefferies.
Graham Hunt: I've got a couple of questions. First one, Tom, I just wanted to come back to your comments about the 15 years you spent at the company and saying that the growth outlook for the next decade or so is at least similar to the growth you've -- Helios has experienced. But I want to get you to comment on how you see the risk outlook because if you went back to when you started at the company or when the company started, I can't imagine even then you would have predicted the exceptional predictability of growth in the business. But today, when you look forward, do you think that the market is in a more mature, more predictable, lower-risk condition than perhaps a decade ago on top of that growth outlook that you're seeing? Second question really was just a kind of update on what you're hearing from your customers at the moment. From their public comments, it sounds like the second half of the year or the year has been going very well from a growth perspective. It just would be good to get your take on what they're saying to you in terms of their plans for your key customers.
Thomas Francis Greenwood: Yes. Thanks, Graham. Very interesting question, the first one. I think if you -- if we look back over the past 10 years, there's been significant global surprises, global shocks. We've had COVID. We've had inflation write down and then write up, and the rates followed. We've had various other macro shocks, oil prices going down to almost 0, then up over $100 and everything in between. So I think there's been -- and of course, currency movements through that time as well. So there's been a lot of big macroeconomic type events or shocks over the past 10 years. And what's been very clear from Helios Towers' standpoint is our business model is very resilient. Our teams and our operational capabilities are very resilient. And therefore, we've delivered consistent growth through that time. And the chart in the presentation shows going all the way back to 2015 where we had EBITDA of $54 million. And we've grown that hugely over that time through all of those shocks, both up and down. So what that tells me and why I'm so confident about the next 5 years and beyond is we know the demand is there. We're experiencing global megatrends at the moment, particularly across Africa and Middle East, the population growth, the telecom subscriber growth, the data consumption growth. All of that -- and the technology generation upgrades as well. All of that means that the telecoms infrastructure needs to expand, needs to develop, needs to densify over the coming years. And it's our job to play a role in that within the industry with our key customers to ensure that we're keeping up with that demand because the mobile subscribers are demanding it. There's more and more data usage happening by the day, by the week in our markets at the moment. The price of smartphones keeps coming down. So more and more people have 4G-enabled smartphones. That's going to happen to 5G over the next couple of years as well. And so we've got a huge responsibility to provide those levels of service and make sure that the networks don't become congested so that millions of people today and millions more people in the future can have good quality mobile service. So that's what we're focused on, and that will very much continue for the next 5 years and beyond. And then the next part of that question is what we're hearing from our customers. We're seeing lots of activity. We're seeing investment in new coverage areas. We're seeing investment in capacity because networks are getting congested because of this data boom that's going on right now. And we're seeing technology upgrades. I think the big push over the past year or 2 in quite a lot of our markets has been 4G. The 4G is now a fairly common technology, particularly if you go to any of the large cities in our markets, it's pretty much all 4G and some are now starting 5G as well. 5G is in early stage. But now we're planning for more 4G proliferation and starting the 5G as well, which has been a big significant rollout globally over the past few years, which you've seen in other markets. And now that's kind of coming into our markets now over the next few years. So we're expecting to be very busy, not just for the rest of this year, but for the coming 5 years and beyond. And we've already got a good pipeline building for next year as it stands.
Operator: Our next question comes from John Karidis, Deutsche Bank.
John Karidis: I've got 3 questions. I guess the first one is for Tom, the other 2 for Manjit. So Tom, you noted that spending on organic growth provides the highest return on investment. I don't know whether at this stage, you can say what you think about how this return compares with buying your stock in at current levels and canceling it, given the sort of huge growth runway that you've cited. For Manjit, please, Manjit, ROIC for established markets versus the new markets, what were those numbers? And how have they changed year-on-year? And then secondly, for Manjit, you've had 9% EBITDA growth in the first quarter, 10% in the second quarter. I don't really know what efficiency projects are going on internally, but help us assess how achievable the top end of your EBITDA guidance is, which implies 12% year-on-year growth for the full year.
Thomas Francis Greenwood: Yes. Thanks very much, John. I'll take the first one, which was around the organic growth compared with buybacks. So we'll be talking a lot more about this in November. So I'll keep it for them. But suffice to say, whenever any dollar is invested at Helios Towers, be that for organic colocations, organic build-to-suits, power investment projects, other forms of efficiency, CapEx gains that we look at, versus other types of transactions, more capital in nature, suffice to say it's all about what provides the best returns for the business and therefore, for investors. So we'll talk more about that in November, John. And Manjit, over to you.
Manjit Dhillon: Yes, sure. So John, I'd say there's actually been no material change that we've seen over the last couple of quarters for the returns, how they look established versus new. So really for the established, we're looking at high double digits, so nearing on close to the 20% mark, which again correlates to the fact that those more established markets have had longer periods of time as part of the group and as Tom showed earlier, have a higher lease-up. So given the fact that you've got markets like DRC and Tanzania that are over 2x tenancy ratio, that will be a big driver of that return. Whereas your newer markets, the majority of those are still below a 2x tenancy ratio and therefore, have return on invested capital is nearing up to kind of high-single digits. But we see that as being something that will accelerate over time as well. So as those new markets have a bit more time and continue to lease up at the rates that we've seen historically. So on the acquired portfolio itself, about 0.1x on the ones that we're building and then filling a multiple of that, so 0.4x really over the last couple of vintages. We'll see that really start to kind of catch up with the kind of more established markets. And again, this will be something that we'll present at the Capital Markets Day too and the road map for those. But in general, the combination of both those, the established and the new markets kind of coming together is really what's going to drive the group return on invested capital hitting 14% and then increasing by 0.5% to 1% per annum there afterwards. From a perspective of how we're trending towards the full year numbers, I'd say again, as I kind of mentioned, we are exactly where we want to be. In terms of the acceleration in the second half of the year, we have a lot of rollout that's coming. And so consequently, we do expect ourselves to see some upside coming through. One of the things that we have seen historically as well is that sometimes the first half of the year, although maybe not last year, can be a bit slower. But actually, we've seen a pretty good cadence in terms of rollout. And with some initiatives that we're doing such as solar and battery deployment in some of the markets, we'll also start to see that coming through the numbers as well. So consequently, I do think that there's probably a good road map towards hitting the top end of our consensus numbers. So that's why we held it steady for the moment, but we're obviously going towards the high end of that.
Operator: Our next question comes from Rohit Modi from Citi.
Rohit Modi: Most of them have been answered. I have just one follow-up basically on the addition of new services. And we have seen a lot of telcos in Africa are now focusing on investing into data centers. Is that something that also attracts Helios or makes sense for Helios to invest in?
Thomas Francis Greenwood: Rohit, thanks very much for the question. I'll take that. I think going back to what I mentioned earlier around how we're focusing on our core business, that very much applies here as well. So we see the runway ahead for our core infrastructure and services of colos, build-to-suits, technology upgrades and amendments as very strong. We see that that's our core operational expertise. And we have our teams really set up and firing on all cylinders in driving that forward. So that's really the vast majority of our road map ahead. Of course, we do look at other services and other forms of infrastructure. But we see the core business for Helios Towers as towers and colos. We see that with the highest quality of contract and customer, and that's our core area of expertise. So that's very much what we're focusing on at the moment and expect that that's the case as we move forward into our new strategy.
Rohit Modi: If I can ask one more question actually. Looking at the tenancy additions and Oman is now moderating or saturating, which are the other markets -- given you have similar kind of expectations for the second half, which are the markets where you think majority of the tenancy growth that's coming from?
Thomas Francis Greenwood: Yes. We've got a strong pipeline for the second half. And in fact, the pipeline is growing for 2026 now as well. All markets have tenancy pipeline and we're seeing a lot of activity from multiple customers as well, not just like 1 or 2. So I would describe it as a healthy environment right now, good demand, good investment coming through across the board. And we're really excited about delivering on that as we move into the second half of this year and into next year. So I wouldn't pull out one individual market as being standout on that. I think what we're seeing is actually pretty healthy demand across the board, and we'll see tenancy growth all over the business as we move into the second half.
Operator: [Operator Instructions] Our next question comes from Stella Cridge from Barclays.
Stella Cridge: I wondered if I could ask in 2 areas. So on this topic of performance by geography, I was seeing in the country breakdown of the EBITDA year-on-year, which you provide on an interim basis, that there was quite a bit of EBITDA growth from markets outside of your 3 core markets. So I was just wondering if you could talk about which were the countries that made the biggest contributions to that growth, perhaps year-on-year if we look on it that way. And the second one, I was just wondering, Manjit, if you could just provide a little bit more information on these amendments to the loan instruments that you just achieved. So what loans are you referring to? And how did you manage to reduce interest cost? And was there any changes in maturity profile or anything like that as well? That would be great.
Manjit Dhillon: Sure. Thanks, Stella. I can take those. So just I'll start on the loan one. So on the loan piece, we can't give too many details out, but effectively we've been able to renegotiate with our existing lender group for one of our term loan facilities to reduce the cost of debt. It's something that we'd actually raised a couple of years ago. So we were able to look at efficiencies, particularly in terms of the rates given the macro has improved, and we were able to lock that in this morning. A couple of kind of minor amendments just to terminology. But outside of that, the covenant package is identical, which is already quite favorable. And in terms of the tenure, that's remained the same as well. So really, it was quite a quick amendment once we got it all negotiated. So I think, frankly, it's a really good deal for us and something that I think gives us incremental kind of upside as we go through the coming years. I do think there's also put to one side, any kind of macro adjustments that might happen over the kind of the short to medium term, but we do think there might be some other potential possibilities of looking at the debt package as well. So we'll continue to keep ourselves nimble to any opportunities that come about. But I think for now, we've got a very, very good financial package and something that gives us the flexibility that we need to hit on all of our targets that we have over the short to medium term. Then in terms of kind of market growth, we don't give kind of market-by-market kind of guidance. We do it on the broad-based kind of functional areas. But what I would say is that each one of those particular areas has shown pretty good levels of growth, and it kind of aligns with what Tom was previously mentioning. I think what we're seeing is really that the markets like Tanzania and DRC, which are 2 of our biggest, continue to have huge amounts of growth coming through, a lot of opportunities in those markets as well. But they're actually now really being supplemented by Oman last year with the rollout of Vodafone, and we're seeing that kind of come through the numbers as well. But really, on top of that, we're seeing some of our newer markets, markets like Madagascar, for example, and Malawi, really coming through as well. So I think, frankly, there's kind of pro rata growth across the markets. There's not really any others that would kind of hold out as differentiators. But each element of the business is kind of holding its position. So in that regard, that's where we're seeing the growth coming through. And finally, the final point is that's also why you see our hard currency percentages kind of staying the same because each market is growing in a pro rata manner. It had increased a little bit last year because of the Oman growth, which is a hard currency market. But in general, that's all holding firm. So yes, feeling very positive about our position.
Stella Cridge: That's super. Many thanks for that detail. And maybe if I could just ask you on the convertible bonds, that's obviously starting to come into the time frame to think about how to deal with that. Is that -- do you have a kind of base case? I mean, would you look to remain in that market or perhaps the other potential options there?
Manjit Dhillon: Yes, it's a very good question and certainly something that we're starting to think about. Just to remind again on the convertible bonds, we raised that a number of years ago, about 2020, and that was really to help finance some of the new markets. The idea being that you can get what was at the time, very, very attractive pricing at sub-3%, 2.875% cash cost, to help support the new markets. And if it were to convert, that's fine because you've got the equity upside of the new markets. And if it doesn't convert, you've had cheap financing. So that was the kind of simple scenario around why we raised it. Going forward, as we look at 2027, we want to try and sit that debt for a prolonged period of time because it is quite good financing for us as a business. We do have a number of options available. I wouldn't say we've got necessarily a base case. It really does depend on how the environment is looking at the time. But certainly, we could do another convertible and refinance with the convertible, we might chunk it down into doing a little bit of high yield and a little bit of the convertible. The positive, I think, is that we have a number of options available to ourselves with that particular refi, but we're keeping our eye on it, but I wouldn't say expect anything too soon on that. But really, really, we do keep our options open there.
Operator: We currently have no further questions. So I'd now like to hand back to Tom for some closing remarks.
Thomas Francis Greenwood: Well, thank you very much, everyone, for your questions and for listening in today. I hope you have a great day today and really look forward to seeing everyone on November 6 in London at our Capital Markets Day. Take care. Thank you.
Operator: This concludes today's call. We thank everyone for joining. You may now disconnect your lines.